Robin Watson: Good morning, everyone. And thank you for joining our half year results presentation. I'm optimistic by the time it comes to delivering our full-year results, we'll be able to meet again in person, but until then, I hope everyone remains safe and well. As always, I'll take you through some opening remarks before passing over to David, who'll take you through our financial performance for the first half of the year. I'll they close the presentation with a focus on two areas; the steps we've taken to ensure that we're fate and fit for the future. And the end part, this is already hard and unlocking growth opportunities this year. So for the entity, I hope you'll be encouraged by our margin delivery and the demonstrable growth momentum underpinning a healthy, medium and longterm outlook for the business. Firstly, some brief reflections on the first half performance, whilst the pandemic did continue to cast a shadow in the early months of the year, actions we took to ensure our business was as efficient and effective as possible have been successful in offsetting the impact of lower activity on our margins. The resilience of people have shown throughout this period has also been absolutely outstanding. A little revenue of $3.2 billion was down around 23% on the first half of 2020. We've actually delivered margin improvements across all our business units. Overall, our EBITDA margin of 8.3% is 80 basis points up compared to the first half last year, equating to earnings of $262 million. Looking ahead, we see an improving picture in the second half and beyond. A large part of our optimism stems from the strong growth in our order book, which is up 18% compared to the end of last year with our own $3 billion worth of what due for delivery in the second half and recent multi-year awards and operations govern visibility of revenue in 2022 and beyond. Growth in our order book has been led by consulting and operations and we're seeing encouraging signs that we're also now passing the inflection point for our projects business. Finally, with significant early progress in a future fed program, we're seeing the benefits of an optimized organizational design improvements in our operating model, and already achieved $20 million worth of efficiency savings year to date with a further $20 million anticipated in the second half. Before passing to David to go through our financial performance in detail, I'll take a quick look back at the journey we've been on and how this has shaped some of our current focus areas. This time last year, we're approaching the end of a three-year integration program following the Amec Foster Wheeler transaction. We took stock of where we were as a business and drew several conclusions. Firstly, [indiscernible] business across different end markets has proven to be the correct one de-risking the business, over reliance and the ups to market and priming us for future growth and value delivery built upon a highly skilled employee base across the globe. Secondly, we recognize latent opportunity to further unlock the code of the platform we built and to build upon our green-to-green capabilities that enable us to partner with clients across the entire asset life cycle. Thirdly, we recognized the need to invest again in specific areas to accelerate growth and lastly, we acknowledged the need to be even more disciplined on operational excellence and not have the range of delivery outcomes as we completed the legacy projects portfolio. This prompted us to take two important steps to help accelerate delivery of our strategy and to unlock sustainable growth in the future. We reinforced the focus on energy transition and sustainable infrastructure as primary growth areas and in doing so placed ESG at the very heart of our business strategy, by committing to a stronger set of sustainability goals. We also launched future fed our 18 month program to transform our operating model, deliver near term efficiencies, accelerate future skills development, and secure medium and long-term growth in the markets where we see the greatest opportunities forward. My focus in the second half of today's presentation will be to show you how these steps have enabled us to enhance efficiency and performance today and put us on the path to sustainable growth. Firstly, however, I'll pass over to David to take you through our financial results in some more detail.
David Kemp: Thank you, Robin and good morning, everyone. Our H1 results reflect improving momentum and activity and good margin performance across the business. Revenue of $3.2 billion was down around 23% as the ongoing impacts of COVID-19 continued to create challenging market conditions. Around half of the reduction was in process and chemicals as major projects completed. We saw strength in the built environment, relatively robust activity in renewables and our full conventional energy activity was down. Revenue reflects improving market conditions. In Q2, we saw improving momentum and activity with a return to growth in both consultancy and operations and we expect that momentum to continue in the second half as the group as a whole returns to growth. We delivered EBITDA of $262 million and strong margin improvement with EBITDA margin up 80 basis points to 8.3% with a significant improvement in our projects business. Our focus on high utilization, delivering efficiencies, including those from our Future Fit program and improved project execution have been key to delivering stronger margins in all three business units. Group margins are also benefiting from improving business mix with a greater proportion of revenue from higher margin consulting activities. Overall against the backdrop of challenging activity levels, we are pleased with the improving momentum in the business and delivery of increased margins. Revenue has reduced by 23% compared to the prior period with COVID-19 impacting activity. Obviously the first quarter of 2020 was largely unaffected by the pandemic. The main driver of lower volumes in the first half was our projects business. We complete a number of large projects in the first half. The impact of the pandemic or new awards during 2020 and 2021, as a result of them being replaced with smaller earlier phase scoops. Additionally, our lower risk appetite and being selective over the EPC scopes that we bid has contributed. After accounting for the $61 million revenue impact of the disposal of our nuclear business in Q1 2020, consulting activity was robust. We saw growth in built environment activity, which accounts for over 65% of consulting revenue. Activity was robust in renewables and other energy, including assessments and studies in renewables and decarbonization, which positions as well as these projects advance. Consulting activity grew in the second quarter compared to 2020, reflecting improving momentum. Revenue in our operations business was relatively resilient after adjusting for a reduction of $12 million related to the disposal of our industrial service business. In operations, we have seen register activity in Q1 2021, but growth in Q2 as market conditions and conventional energy improved. Against the backdrop of challenging market conditions we've made strong progress towards our medium term strategic margin target of 9.6%. Group margins increased by 80 basis points with improved margins in all of our 3B [ph] use. The EBITDA impact of businesses disposed during 2020, principally nuclear and industrial services was $9 million. In addition, EBITDA and investment services reflects benefits from closing out legacy issues in 2020 and additional costs in 2021 towards the completion of the project. The earnings impact of lower volumes was largely offset by improved margin performance in all three business units. This was driven by cost efficiencies, including $20 million from our Future Fit program and improved project performance. Group margins have improved 80 basis points despite challenging activity levels. Projects margins have improved significantly up 220 basis points benefiting from efficiencies as well as improved execution and a lower risk portfolio. We've been very focused on replicating the exceptional execution we have in large parts of our business, across everything we do. Our recently established operating committee is embedding standardized project delivery frameworks and enhanced project governance throughout our organization. We're already seeing the benefits of this in terms of improved execution. In addition to this, we've continued to focus on ensuring the appropriate level of risk and reward in our portfolio. As we've worked off a number of fixed price projects, we've focused on securing new work that is in line with our measured risk appetite, which will also be beneficial in delivering more consistent outcomes. Furthermore significant margin improvement was in projects, we have delivered improvements in all three business units in the first half. In consulting, we have built on an already strong margin, delivering a substantial increase of around a 100 basis points through our focus on maintaining high utilization and efficiency improvements. Operation's margin also improved, reflecting continued good execution and efficiencies. The impact of higher margins at business unit levels is amplifying the impact of our improving business mix as we deliver against our strategy. Our actions to better position our high value consulting capabilities into more efficient global and an industry-leading offering are reflected in our revenue portfolio. In the first half of 2021, 28% of our revenue was from highest margin activities in consulting compared to 24% in the prior period. Our flexible asset light commercial model is fundamental to our investment case. Our track record of leveraging our cost base was crucial to our ability to respond quickly and decisively to the unique market conditions in 2020, as a result of the impacts of COVID and oil price volatility. In April 2020, we initiated a number of actions which reduced our overhead costs by $230 million in 2020. In 2021, the additional full-year benefits of actions taken in 2020 is offset by the unwind of some temporary measures. However, the $230 million will be supplemented by efficiencies we anticipate from our Future Fit program of $40 million. Although we see market conditions improving, our ability to drive efficiency through our cost space and maintain utilization at high levels is one of the key drivers of margin improvement in H1 and creates a platform for further margin expansion in line with our medium term margin target of 9.6%. Turning to the cash flow, net debt has increased by $261 million largely driven by a working capital outflow of $237 million, which I will cover in detail in the next slide. Cash from operations is an outflow of $107 million. and the stated after provisions of $59 million. The impact of regions is lower than an H1 2020 due to the closeout of legacy issues. Cash exceptional of $46 million include payments in respect of the settlement of legacy investigations and costs relate to the delivery of our Future Fit program and costs related to prior period, onerous leases. Payments for CapEx and intangibles includes investment in our digital capability and the resumption of our ERP program. Overall expenditure was lower than H1 last year as a disciplined approach to discretionary spend continues. Overall, our net date was around a $100 million higher than expected with working capital outflows higher than anticipated. This was principally due to receipts due in June being received in July. Overall, we had a working capital outflow of $237 million in the first half. Receipts were lower than anticipated with an outflow of payables in line with reduced project activity. Working capital was also impacted by the expected unwind of advanced payments of $61 million as large EPC projects completed. Looking at the full year expectations for net debt, we are confident of delivering a reduction in H2 with a significantly improved working capital performance and improved profitability offsetting the impact of exceptional items in the second half. Exceptional items in the second half will include $60 million of further investigation settlements and Future Fit costs or $15 million. Working capital will benefit from our typical H2 inflow, the impact of timing of receipts reversing in H2 and an advanced build in line with project awards. Improving activity levels and momentum in our order book, give us confidence of delivering stronger profitability in the second half. The effect of this and lower net debt is anticipated to deliver a reduction in net debt to EBITDA from the current level of 2.9 times. As we look forward beyond 2021, leverage will continue to benefit from the growth in profitability, lower exceptional costs and the resolution of legacy issues, improving cash generation. Our confidence in delivering a stronger H2 and returning to growth is underpinned by positive momentum in our order book. We have seen good growth in order book, which is up around 18% on December 2020. New contract awards and positive score variations have more than replaced order delivered as revenue in the first half, giving a book-to-bill ratio of around 1.4 times. Momentum in order book reflects improving conditions in our core markets. Good growth in consulting up around 15% has been driven by strength in the built environment and momentum in energy. Projects order book is down around 3% compared to December '20, but we are encouraged by both recent awards across all our markets and projected second half awards. Operations order book reflects improving demand in conventional energy with the recent growth in order book reflecting renewal of a number of multi-year contracts and new wins and these include significant contract awards such as our five-year specialist engineering contract for a major oil field in Iraq and a late life asset solutions contract at our UK gas field. Our current order reflects a lower risk profile in our portfolio, as we have completed larger EPC contracts, particularly in process and chemicals, we've continued to be selective in our bidding for new work. We're focused on ensuring new work is in line with our measured risk appetite and combined with our focus and execution excellence will deliver predictable margin outcomes. Around 78% of our order book is now reimbursable with only 3% from fixed price work over a $100 million. Order book of $7.7 billion of 30 of June is up 18% since December 20. Around $3 billion of the order book is due for delivery in the second half, giving us good visibility over 2021 full year revenues. Around $4.7 billion relates to activity beyond '21 laying strong foundations for 2022 and beyond. The building works secured for delivery in 2022 and onwards includes a number of EPC awards and projects secured during June. Early fees activity on these will commence in H2 with the majority of the work to be delivered in 2022. It also includes renewals of multi-year contracts and operations across the Americas, Europe and Asia Pacific. Looking in more detail at projects, we believe we are seeing the inflection point in order book. In our Projects business H1 order reflects the impact of large fixed price contracts in our portfolio of completing. However, this has been offset by improving momentum and awards throughout the first half, such that order book is now broadly in line with December, 2020. We're encouraged by the mix in our order intake. These include early stage concept and feasibility scopes, which position us well for follow-on work as the projects advance and EPC scopes aligned to our measured risk appetite. New awards in the first half have been sprayed relatively evenly across our core energy markets. We are seeing awards from growing investment in both hydrogen and decarbonisation of assets. In addition, early stage feed scopes in conventional energy are an indicator of activity increasing in anticipation of growing global demand. Looking ahead, we are seeing encouraging trends in bidding and opportunities and expect momentum and awards to continue into the third quarter. In summary, we have a high quality and improving projects order book that reflects a lower risk profile. Looking to the full year, improving activity levels in Q2 and growth in our order book is giving us confidence in delivering a stronger second half, which will represent growth compared to the second half of 2020 and to the first half of this year. Overall, our outlook is unchanged. Activity in projects will be lower due to the completion of large process and chemicals projects. This will be offset by growth in consulting as built environment activity continues to be strong. In addition, we expect growth in operations as activity levels in conventional energy improve. EBITDA margin in the second half is expected to be up on the first half, reflecting increased utilization in some parts of consulting due to seasonal business as is typical and a further $20 million of Future Fit efficiencies. We expect to make further progress towards a medium term target of 9.6% and anticipate full-year EBITDA margin to be strong up around 50 basis points on 2020, reflecting high levels of utilization, improved project execution, efficiency improvements, including $40 million of savings from Future Fit and our business mix weighted towards higher margin consulting. Looking further ahead, improving momentum in our activity levels and strong growth in order book are laying strong foundations for activity levels and operational cash generation into 2022. In summary, although the ongoing impacts of COVID-19 have continued to create challenging market conditions and impact on our revenue in H1 we're encouraged by improving momentum and activity in Q2 and good growth in order book. We're really pleased with our improved margin performance. Our strong focus on delivering efficiencies, improve project execution and maintaining high utilization together with our improving business mix has more than offset the impact of lower activity. Strong growth in order book reflects good momentum in awards, which is delivering a lower risk profile as new awards in line with our risk appetite replace large fixed price contracts completing in H1. Positive momentum and Q2 activity and order book underpins our confidence in returning to growth in the second half relative to both the first half of '21 and the second half of 2020. The order book momentum also leaves strong foundations for 2022. Full year EBITDA margin will reflect further progress towards our medium term target of 9.6% and we're confident of delivering a net debt reduction in the second half. I'll now hand over to Robin.
Robin Watson: Thank you, David. I'll start with a brief recap of our Future Fit program. At its core, it has got three primary components. Firstly, unlock stronger medium term growth through a similar organizational design and a concentrated focus on select markets where we believe wood has a differentiated offer. Secondly, drive an efficiency savings through operational excellence and thirdly, value creation through investment in digital solutions in future skills. I am very pleased with the progress we've made so far. The program is already delivering benefits with $20 million worth of EBITDA efficiencies in the first half of 2021 and more to come in the second half. And it will deliver value across a range of areas in the medium term. Over the next few slides I'll touch on some of the outcomes Future Fed has helped to deliver and how they relate to a growth agenda. We prioritized a select number of markets to pursue accelerated growth and have seen excellent progress in each area and I'd like to call out a few examples. In the first half, we secured over 30, 30 distinct hydrogen contracts. For me, the two exciting elements here are the breadth of the different scopes that we've delivered and the future opportunity that we can see building. What we're tracking over $600 million worth of hydrogen related opportunities and our factored pipeline and recently saying that as a stealing member of the hydrogen council, which puts us at the heart of industry-led debate and thinking in the rule of hydrogen, and that's how it will play in the net zero future. We've also signed an extremely exciting team and agreement with Honeywell UOP to combine a respect of technologies to deliver carbon neutral aviation fuel that will allow the aviation industry to decarbonize. We're hugely excited about this. Just think about it. Just think about a jet one spec fuel with zero carbon footprint. Similarly on carbon capture and storage, we've secured over 20 distinct awards in the first half of the year. We've got over 80 opportunities at unfactored pipeline and that is valued at $500 million. The projects we're working on are the industry leading, including the world's largest carbon capture and storage project covered multiple studies in the US there's a potential caption stood up to 10 million tons of carbon annually. In renewables we've doubled the size of our business in 2020 and see good opportunities in our order book and our solar and wind business in the US we have developed a new proposition based on standard block design and lean execution methods, which has already differentiated as an opening up new markets and like the Nevada Gold contract that I'll touch on later. The integration of renewable energy and industrial projects has also emerged as a strong growth theme within our future pipeline. With a strong track record in this space as evidenced by our work in Oman with Shell, where we delivered the first utility scale PV solar project in the Middle East to cut emissions from an industrial facility. East where we continue to observe in the market, we're confident that this carbon reduction trend is a generational shift and a multi-decade growth opportunity. The excite in bet as we're already right at the heart of it, providing the solutions that will deliver this low carbon future. We're also building some valuable partnerships in the digital and technology space. I'd like to share a couple of great examples that showcase how an investment in digital solutions is driving added value for Wood and for our clients. Earlier this year, we formed a new alliance with Aveva, a global leader in industrial software to develop a connected build solution that uses digital twin technology to drive improvement in design, work and industrial sectors. We're applying nascent projects today include an EPC work and a chemical project in Texas where it's helping to reduce operational costs, energy consumption levels and wastewater volumes. The other example, I'll reference is a collaborative agreement we've signed with Microsoft to give 7,000 of our field workers access to their suite of connected worker apps. These are delivering a range of benefits. For example, the technology arouse field technicians to connect to the right experts across a global business, so they can discuss life challenges and projects and real life decisions. This saves both time and money, and crucially allows us to bring a very best insights to our clients where it's needed most. Another fact that will be fundamental to our future growth is a breadth of our capabilities and our ability to provide solutions that span de-carbonization energy, transition and sustainable infrastructure is an offering that few other companies can match. Many of our projects represent world's first sort of largest cutting edge solutions. To tell you straight my points, here's a quick snapshot of just some of our contract wins in the first half of this year. Owner's Engineer and Europe's largest single site onshore wind farm reducing the carbon footprint of offshore activities for clients like Equinor and Energy shaping decommissioning strategies in Australia, cutting edge blue hydrogen production in the Middle East, delivering the UK's largest waste to energy project in London, and finally building resilient and future proofed infrastructure across the US. I could go on, but suffice to say, I'm very proud of the diversity of what we're delivering across the globe and it really differentiates the Wood proposition. As I highlighted earlier, ESG is at the very heart of our business. Earlier this year, we connected to a stronger set of targets to measure our performance against our sustainability strategy and we're making good early progress. In 2020, we delivered an 8% reduction in our scope one and two carbon emissions, a strong start towards our goal of a 40% reduction by 2030. We currently have over 30% of female representation at senior leadership roles compared to our target of 40% in the same timeframe. More recently, we've also taken strategic steps aligned to the delivery of our purpose. A good example is what we are doing with global goals to engage with stakeholders, to promote the importance of achieving UN sustainable development goal number seven, around clean and affordable energy and that's as part of the wider commitment to accelerate the energy transition. I'll now step through each in a bit more detail and provide some color to the near and medium term growth prospects we're seeing before doing that. This slide provides a helpful reminder of the shape of our business today and very simple terms. It's a balanced and well-diversified portfolio. We've got four in markets across energy in the built environment. We've got three complimentary business lanes that offer green to green across the life cycle of a project starting with consulting. In the first half, this business delivered nearly $1 billion worth of revenue and a very strong EBITDA margin of 12.1% and many aspects that already reflects the strategic direction of would premium reputation, differentiate capabilities, high margin returns and solutions for clients across all of energy. And the built environment markets are all the biggest strong up 15% compared to December 20, 28 with about $1 billion worth of revenue due to be delivered in the second half and activities in both energy transition and the built environment markets have been strong, and we expect this to continue and bit to build at June was 1.3 times. Governor's confidence of delivering further growth in the second half. We've secured some great wins in 2021, which aligned squarely with our strategic focus. It is not a consultant growth plan. We already have strategically important senior appointments Alain to key growth areas, including our vice president of hydrogen and a global director of de-carbonization moving on to projects. This is a part of the business that really has been most than party, but uncertainty is created by the pandemic, but there were still some strong positives to take. In the first half of the year, we delivered revenue of $1.2 billion. And as David highlighted a significantly improved EBITDAR margin of 7.5%, this is a full 220 basis points margin improvement. On the first half of 2020 from an order book perspective, the early months of the year were relatively quiet as investment decisions continue to be delayed. The through Q2 we've observed encouraging signs of growth, and we anticipate this to continue in the third quarter and in 2022 and in line with improving order intake or see an improvement and our book to bell, which has steadily grown through the end of the first quarter, then the Q and as now, just before the one, but also pleased with the level of diversification in an order book reflect in the balance of exposure. Then our projects business across renewable and other energy processing chemicals. And of course, conventional energy as with consulting, we're pleased with the quality of projects we've secured this year and how well they align with our strategic plan and finally operations that's delivered. Sarka a billion dollars worth of revenue. And the first half of the year and an adjusted EBITDA margin of 10.7%, our operations business is typically characterized by long-term contracts with clients who hold enduring relationships with us. This means that deliver stable, predictable returns, largely OpEx oriented in origin that provide a helpful counterbalance to some of the more cyclical parts of our business. The order book and operations is excellent up 34% compared with December, 2020 with about $1 billion worth of revenue due to be delivered in second half. Our strong boot to bill rate of almost two times reflect that excellent customer relationships and market possession, enabling us to secure renewables and your contracts, and very encouragingly to continue to win work from our competitor set. This has also given us good visibility over future revenues with the majority of all the boot due to be delivered from 2022 on what's. Well, the majority of revenues and operations still comes from conventional energy projects. We are making good progress and diversifying this business with new ones in power generation today is related to reducing the carbon intensity of conventional energy assets, as well as late-life assets solutions. I'll never talk a little bit more about the key themes and our end markets, which are linked to R B U growth for consulting and energy transition, industrial de-carbonization, and the integration of renewable energy enter industrial facilities is a key near town focus area, and we're already winning significant work in this space and sustainable infrastructure. We're recognized as a leader in climate resilience consultants in north America, and we will continue to capitalize on the stimulus spending with our own $900 billion worth of U S infrastructure bill well aligned to core areas of expertise and projects. Investment in renewables will continue as mentioned earlier, would investing in standard block design and lean execution capabilities building or not air late market entry and strong position. Economic recovery will be positive for downstream investments. And we see significant opportunities in biofuels and bio refining. This development of more sustainable fuels solutions will be vital for a range of industries to meet the mate. And zero targets. Energy transition will impact capital investment in developing new assets, but we'd already see insignificant opportunities around de-carbonizing conventional energy and industrial activities, as well as on process and chemical facilities finally, and operations conventional energy will remain a material part of the energy mix for some time to come and just turning demand or see an uptake in activity levels, the type of what will continue to evolve with a strong focus on cost optimization, emissions reduction, digital solutions, late-life management and decommissioning of mature fields. Our long-term relationships means that we will be a partner of choice and help an IOC as they evolve into IECs that work across on the conventional and blue carbon energy markets and projects. What I see is the vested interest in the matured basis to independent operators. We also expect to see more demand for integrated asset management services, industrial and facility modifications across energy market. We'll focus on both carbon emission reduction and modernization creating opportunities for our operations business. I've just spent a bit of time walking through that loop for each BU, but for me, the real power comes when we collaborate. Let me share a few examples of collaboration wins in the first half of the year. And the U S are projects and consultant team of what together to win Nevada gold, where we'll, we'll deliver a 100 megawatt solar plant. And that will result in a zero emissions mining project and Asia Pacific, our operations team have opened the door for our consulting team to cardio asset integrity and decarbonisation studies to help an operator client reduce their emissions associated with off shore activities. And finally, in the middle east are consulting and projects teams of what with ADNOC to deliver the pre-feed and design for cutting edge blue or morning up project. This ability to cross pollinate opportunities and pool expertise will continue to be a differentiator and a foundation for future growth to close. I'll just reiterate the key highlights. And the first half we were pleased to have delivered strong margin improvements across all parts of our business. We're very encouraged by the growth proceeded in our order book and are confident to returning to full growth. In the second half of this year, we're reaping the benefits of future fetish, delivering exactly what we wanted it to. And there's more to come in the second half of 2021. And then to 2022, we have an increasingly strong ESG possession and our breadth of capabilities means this will grow even further in the future. It's been an unprecedented last 12 to 18 months of challenge, but we've come through it. Well, we'll energize that for the future. As we entered a compelling growth phase. With that, I'll know Claus and invite any questions you may have.
Operator: Thank you. [Operator Instructions] And your first question comes from the line of Nick Konstantakis from Exane. Please ask a question.
Nick Konstantakis: Hey. Good morning, guys. Thank you for the information, presentation, and incremental color on the division is very helpful. A couple if I may please. Firstly, clearly, very strong momentum in your energy, I appreciate the color on your commercial success there. I think you break out 35% of revenues and renewable and other energy. Can you just help us understand the quantum of the two, i.e., the pure renewables and the other energy? And just discuss if you could how you're thinking about renewables evolving the mix over the next five years or so in the medium term? And then, could you please discuss a little bit the status of IECs? It feels like completion slipped a bit from December into by mid-2022. So can you just give us some color there? And then lastly, could you just help us a bit understanding the exceptionals in 2022 just so we understand a little bit the cash momentum that we are talking about how to think about it in clean terms? Thank you.
Robin Watson: Okay. Why don’t I take the exceptionals and the IECs question and let Robin talk about the momentum around new energies and renewables. In terms of [indiscernible], we’re currently anticipating completion to be in August 2022 Q2 and that has slipped largely due to COVID. There's been difficulty in getting the US teams into Poland because of COVID and so that’s the lead commissioning work and stretched out the completion date. So, we're into the final phase of it but it is delayed. In terms of the exceptional looking forward to 2022, we do expect to see a run down in exceptionals as we move from 2021 to 2022. The most significant item we have this year is obviously the regulatory payments of $70 million. That will reduce then to $40 million in 2022 and will be $40 million in 2023 and 2024 as well so that will drop down. In 2021, we've also got the closure of an office which is roughly about $20 million which we – with no plans in 2022 at this point for an office. In terms of future fit, again, we've got a significant exceptional in terms of future fit in 2021. We expect that to be much less significant in 2022. The program is an 18-month program of largely exceptional relates to redundancy and your costs which have happened in 2021.
David Kemp: Just picking up on your renewables and other energy question, Net. We don’t break it down at component parts. And one of the reasons for that there's an existing branch right across decarbonization alternative energies, carbon capture and storage and the renewable energy alternatives. So, in terms of the scale and pace of it, however, we really we’re really are encouraged with the trail today in the presentation. We’re seeing a pipeline that’s go over $1 billion off of carbon capture and storage and hydrogen projects combined. That has grown exponentially in the past 18 months, even in the past 12 months, and we've been very active in that area. And frankly, a number of clients know when they do look at assets, either existing stock and look to decarbonize it, there's usually a bit of a blend in terms of the range of solutions. Sometimes, they've got -- we trailed our Middle Eastern solar project for Shell and we’re doing an electrification offshore using renewable wind generation for Equinor. And increasingly that decarbonization scope on an existing stock revolves around carbon capture and storage. Elements may well be part of the decarbonization right through to just process optimization, reducing flaring and venting from the industrial asset, an onboard electrification to renewable sources. So I’d say we keep them a together and try and just simplify it by capturing it from the floor market prognosis that we provide. What we are probably seeing and it might help you just in terms of your modeling, we are actually seeing material projects coming through in some of these renewable areas. We've always had that in solar and wind particularly in North America, but we are actually seeing not $1 billion plus uncut of pipeline on CCS and hydrogen. It obviously relates to material projects as well as study work and front end design work. So that's an increasing at a level that's brought up we see coming through.
Operator: Thank you. And your next question comes from the line of Victoria McCulloch from RBC Capital Markets. Please ask your question.
Victoria McCulloch: Thanks. Good morning. Thanks very much for your time this morning. Can you just start on the net debt and go a bit more into detail I guess in the second half of the year. You've talked about the obviously offsetting the exceptionals number in the second half from operational improvement and also the working capital first thing. Should we -- so by month's numbers, that's $175 million which is a big improvement. Should we expect to see more than that? I can’t quite tell if you were suggesting that we should see more than that and coming out in terms of advances and that sort of momentum in awards that you secured in the first half of the year that’s starting in second half we should see there. And if you could, secondly if we could kind of – I guess as an extension of this, obviously your margin guidance for the second half of the year is significantly higher not only than the first half of the year but the last year as well. This is obviously higher consultancy work combined with future fit. How sustainable is this particularly given the operations – I guess the new awards sitting in your backlog of operations consists of a higher proportion? And if I can ask an additional follow on to that, how are you seeing in terms of these sort of energy transition opportunities? What do the margins look like? Where do they sit on a relative basis to – are we closer to consulting margins or does it really depend on where the work fits within your business?
Robin Watson: Okay. A few questions there, Victoria. So, I guess in terms of the net debt guidance, overall, we expect net debt to reduce in the second half from where we are now. And really the drivers of that are going to be then improved profitability. We expect to return to growth in the second half relative to the first half and also relative to the second half of last year. And so that improved profitability will come through in our cash flow. We also expect a working capital inflow and that includes going to be driven by principally three elements. So, firstly, we normally expect the second half inflow. December is typically a lower activity type month for us. We do have a seasonal element to our business where we typically build working capital into the summer. So, you know we’d expect a normal 2H inflow. We’ll also benefit from the receipts that we received in July that were originally due in June. And then the third component is around advances. As you picked up, in the first half we had an outflow of $61 million as we completed some of the big contracts such as YCI. As you've seen from the presentation, you know we're getting some good momentum behind our projects order intake. We had a very good June. July looks another good month. And Q3 we've got good visibility over potential awards. And so we would expect those – such that they are NPC to generate advances. So, we expect a positive inflow from advances in the second half. And that's largely reflecting the inflection point we've seen around projects order intake. In terms of clearly we end up, overall, we expect the net debt to reduce. We don't expect it to be lower than it was at the end of last year, to reduce. We don’t expect to be lower than it was at the end of last year if that helps in terms of that coming to engage. And principally the negative – the cash flow is around the exceptional in the second half. We’ll have about $60 million released regulatory investigations we've paid in the second half while about $50 million related to Future Fit. With $20 million related to an office closure, that was business P&L in the first half and we'll pay the money in the second half and then $60 million related to towards those that we had in prior period that were running that run out towards 2024.
Victoria McCulloch: Thanks.
Robin Watson: In terms of the second part around on the sustainability, we do think our margins are sustainable and improving. We've seen good growth in the first half. We're up 80 basis points compared to 2020 first half. And for the full year, we expect a further increase in margins. I think when you look at the first half second, half margins, it's important to remember we do have a seasonal element to our business and so we typically expect our margins in the second half to be higher than our margins for the first half. And if you think around consulting, consulting is a good example. We do consulting activity. It is supporting in many cases construction type activities. So, whether it's program management so any benefit from increased utilization in the second half versus the first stop. Consulting business typically their utilization is lowest in the first quarter and some first quarter. And some of that’s weather related, for example, in Canada. So, if I look at full year to full year, you know, we do see those margins as being sustainable. You know, we do have a medium target of 9.6%. And you know, with big good progress in 2021 and we expect further progress in 2022. Some of the things are around, Future Fit continuing to deliver and continuing leak out efficiencies, particularly in Operations and Consulting. But the biggest opportunity we have in our end margin is in our projects business. So our margins and projects have recovered significantly in the first half. We're up to 220 basis points but we still think there's further room to go there in terms of pushing up that margin. So, over the medium term, we expect that to show the biggest improvement in Operations and Consulting. You know, frankly, we think we've got excellent margins in both of those businesses just now. There's more we can do. But the potential is less as we go forward. So, in terms of relating back to new work, I think one of the things that's been consistent over the pandemic period is we've not seen the same pressure on pricing. And so, we've probably – there's a generalization to this. You know, we'd be fairly neutral about pricing across our business. In some parts, we think there's potential for uptick in pricing, particularly in some parts of our Consulting business. Equally, in things like US yield, we have our pressure on pricing. But generally, it's been a neutral pricing story over the pandemic period. So we've not been winning work at effectively lower margins. That's not been the story for us. And then I think your…
Victoria McCulloch: Thanks.
Robin Watson: The last question was around margins and energy – energy transition opportunities. And I think you largely answered it yourself. It does depend on the type of activities that, you know, we do in our margin and renewables EPC projects is lower than in consulting, you know in our consulting business. You know, we get excellent margins around you know studies, bids, and that – those type of activities. So it does more relate to the type of service that we're delivering rather than the market that we're in.
Victoria McCulloch: Thanks. That’s really helpful. If I can be really incredibly significant and just ask one more thing. Where is the sort of the upside opportunity in project? Is it delivery? Is it something you can add value in?
Robin Watson: I think projects, there's a bit of a mix Victoria. We've derisked significant other projects we go for. So actually we go in to the project portfolio and just I don't know if you've picked that up but when we first acquired Amec Foster Wheeler, we got about 65% reimbursable. That number at this year is 80% reimbursable. So that's a significant shift that we've seen. From a projects perspective, running off the remainder of the kind of large legacy projects there which is probably the revenue you know has been coming down. We're very selective in the market in which we approach. We've been really pleased with the reorg that we put in place, the operational excellence drive that we've got in the OpCom with the Chief Operating Officer really kept that focus. So that's been a big part of the driver. Of course, we were, you know, selecting better projects without commercial terms and secondly getting the outcomes globally that we would always get in the Eastern Hemisphere, we’ve effectively put that team across our entire portfolio across the globe. So, that would be the two key constituent parts as to the projects and improving out.
Victoria McCulloch: Super. Thanks very much. Appreciate it. And I excess the number of questions that I definitely allow there. Thank you.
Operator: Thank you. And your next question comes from the line of Mark Wilson from Jefferies. Please ask a question.
Mark Wilson: Thank you and good morning. Yeah, the growth in order book year-to-date, they’re seems to be largely driven by operations, and therefore I'm thinking conventional energy awards regarding these contract renewals. You mentioned to interact, is it fair to categorize that my observation like that, or are you actually adding new contract renewals in line with these decarburization metrics that you've mentioned on some of the existing assets like in IOC? Thank you.
Robin Watson: I’ll maybe start, and then let Robin add. I think, you know, we're really pleased that our backlog is up 18%. I think it would be wrong to characterize it as being in operations. You know, our consulting business is up 15% which we think is an excellent performance. It's been consistently growing throughout the year. And as we look forward, particularly in that built environment space, we think there is a very favorable macro coming back to the line in terms of the US – the US stimulus where we think our capabilities align very well with where we’re planning to spend the money. So, you know, we're really encouraged by where we are in terms of consulting, also in terms of the macro picture. Equally in the projects, you know, we've added significant projects across – right across the energy spectrum And you’ve seen that in our growth in order book in May to June. And we’re encouraged with July. And we’re encouraged with the projection for Q3 as well. So, I don’t think it’s just an operations to it. But if you look at our operations, again we've had an excellent first half. We've had several renewals, but we've also picked up new work in conventional energy and also in processing chemicals.
Mark Wilson: Thanks a lot, David. And so my follow up actually is on consulting because, yeah, order book is up nicely there as you speak to. Revenues slightly down on last year and also the headcount is as well in consulting. But you speak to some strategic appointments in certain growth areas, strategic growth raeas. So, would you expect consulting headcount overall could be increasing from here?
David Kemp: Yes. We do see a very healthy pipeline, Mark. Actually, if you look at say where we are in our energy business those we’ve trailed well and I think quite clearly how enthused we are what the growth in both carbon capture, hydrogen renewables. We’re doing increasing studies across actually both operations and what our consultancy business on decarbonization of existing industrial clusters on energy assets. So, I think that's quite an encouraging part of it. We've not seen any evidence to date of the stimulus coming through in the built environment market. And again, as you may know, our built environment business is orientated very heavily to North America and Canada. And we're very confident that that stimulus funding will see that market grew still further through the second half of this year and certainly in 2022 as the money cascades through the system.
Mark Wilson: Okay. And maybe one last final point, you speak to the headroom that you'll debt facilities have over $1.5 billion and yet, we've access this UK-backed facility for $600 million. Obviously, good to have the government backing on that. But I’m just wondering is that facility at a lower cost than your existing RCF because I'm sure that was less than a 2% margin? That's my last question. Thank you.
Robin Watson: Yeah. I'll maybe pick up the one on the UK facility. As you see, we've got quite considerable headroom in terms of our facility. We secured the UK transition loan which is a five-year six $600 million facility. Its margins are at 165 basis points over six-month LIBOR – USD LIBOR. We think it's a very attractive rate. It'll be part of our long-term refinancing. And so, we're really pleased with the facility and I think it's a great endorsement of our transition plan and the transition of business has been going through. know the margin proved this for a long time. And we've frequently said that back in 2014, we were 95%upstream oil and gas. Today, we’re 35% attached to conventional energy. And even within that, a significant portion is around decarbonization type activities. And we expect that to grow as we move forward in the future. So really pleased with the UK facility. We think it's well-priced and it’s a good facility. At the same time, we did retire at $300 of bilaterals and so we drill down the facility in July and we retired the $300 million of bilaterals in July as well.
Mark Wilson: Okay. Thank you very much.
Operator: Thank you. And our next question comes from the line of Amy Sergeant from Morgan Stanley. Please ask your question.
Amy Sergeant: Morning, Rob, and morning, David. So, yeah, two questions from me, if I may. And thanks for all the detail in the presentation this morning. That was very helpful. And so, I guess just first on your sort of the wind and hydrogen and carbon capture. Yeah. A lot of projects mentioned here. So, I guess if you could give any context on, I guess, how that compares to previous periods. And then also if you could just clarify what you mean by the unfactored pipeline, so this sort of $1 billion plus of unpatched pipeline. Is that something – is there a time frame where you'd expect to see that? And then my second question is around where you could potentially win EPC work that comes with those cash advances in the second half in the projects business? So where do you see those opportunities coming through? Thanks very much.
Robin Watson: Yeah. If we look at the wins in renewable energy, alternative energy and the carbon capture hydrogen, etcetera, I think there's a few overlapping cycles on it, Amy, in reality. They – where does it compare with previously? We’re working on a pipeline worth -- $1 billion worth of hydrogen and carbon capture activities within it. So that’s a – that bear in mind is a significant parameter of where best market. We do think from the pandemic we were well-positioned annually for the energy transition but we do feel the pandemic has accelerated that all debate and I don’t think it’s even been arguable around decarbonization, lower carbon intensity, and alternative fuel sources and resources. So, in that regard, we feel that’s a good barometer and it’s probably carbon capture storage from a hydrogen perspective. The market looks like it’s reaching high points. Probably the balance with that is the hydrogen is just a broader market. For many years, hydrogen has – green hydrogen has been actually quite a key component/part of the downstream footprint. What we’re seeing now there’s increasing investment, the dollars gone into within it; Blue, light blue, turquoise, and a green hydrogen. So, the hydrogen rainbow is you like is much broader than it has been previously in the past. And just to remind you, we’ve got our 60 year ahead steam methane reforming from a hydrogen perspective. That's over 100-odd units sold globally in that period. So, I say we think we're very well-placed not only with the play [indiscernible] unlocking hydrogen as a fuel but also in terms of a carbon capture storage technology and thinking that we can apply there. In terms of the pipeline, I'll call it down that pipeline is the way we look at order book in it we’ve got an unfathomed pipeline which is opportunities out there with a straight value attached to them and it’s generally public domain and/or simply sector domain knowledge, customer access project why versus the sought of scale of the project. What we then apply to it in terms of our Wood perspective we apply our goal what is likely to be green, white and plain and puts a competitive position, how we likely are with to limit gives us what we call a factored pipeline and a factored pipeline is broad – a good barometer of again of what we embed for our win rate as and then what becomes backlog when you secure the individual contracts and component parts. So, that’s if you like the process of going from un- flat out to flat out to a winning tender on the backlog. So, we've called the billion dollar. We've got the threshold on the other side of the pipeline was a significant. It was a significant one.
David Kemp: In terms of the second part of that question, Amy, around where we get advances as you know it's typically on EPC activities which are more likely to be lump sum for us. So if you like you know Robin mentioned one in the presentation. Nevada Gold is a project we signed in June. That's an EPC type activity. Renewables is an area we would expect more awards in the second half. Equally in markets such as minerals so one of the areas of our business that's seen good growth and we have good expectations across the short to medium term is effectively in our mining and minerals business where again we've seen you know a high demand for factory transition minerals feeding community activities. Equally, Lifesciences is in an area where you know we've seen an uptick in demand and again some of that is related to the pandemic in terms of the reassuring of facilities. So I probably wouldn’t narrow it down to one part of our business, you know, right across the energy spectrum we've got some good opportunities. If you look into 2022, Amy, as well. I think you know we've been quite clear. We do feel that conventional energy as part of energy transition. So it's good that we talk a lot about the alternative energy pathways and our position in them that from conventional energy perspective we envisage second half of the year as the world opens up demand, they’ll obviously increase in terms of conventional energy consumption. We think inventories will draw down faster and we will see a demand-led increase in expenditure in our conventional footprint. That’s probably a 2022 commentary and beyond rather than a second half of 2021 just for completeness.
Amy Sergeant: Great. Thanks very much. All right. Very helpful.
Operator: Thank you. [Operator Instructions] And your next question comes from the line of James Thompson from JPMorgan. Please ask your question.
James Thompson: Hi. Good morning, David. Good morning, Robin. Yeah. A couple of questions for me please. Firstly just on the 2021 guidance in terms of revenues, obviously you talk about, I mean, firstly thanks very much for the color in terms of guidance in the divisions. I think that's helpful. But you know revenues you talk about $6.6 billion to $6.8 billion, but then you obviously talk about H2 2021 being above H2 2020 which given all you've done in the first half of this year suggests you're already at $6.7 billion Suggest you already at $6.7 billion for 2021 as a whole. So, I just wondered why the range. And should we sort of settle very closely towards the upper end of the range as you see it today and particularly with the backdrop growing?
Robin Watson: Yeah. No. We’ve given a range of our revenue of $6.6 billion to $6.8 billion. The bottom of the range there is largely would imply H2 is largely flat. We've also given out effectively the revenue we have already booked for the second half. So, we've got $3 billion in the order book that gives us really good coverage over the second half. And so we're comfortable with the range of $6.6 billion to $6.8 billion. Clearly, there is a range to that. At the midpoint of that range, we would be growing versus the H2 the prior year. And in all cases would be growing H1 as well. So, we're really comfortable with our revenue guidance. We're very – we've talked a lot about order book on the call. And that's given us really good visibility over the second half. We're in the low-90% of revenue coverage.
James Thompson: Yeah. And just sort of sticking with the order book. Obviously, a lot of color in there. You've emphasized the projects piece which clearly looks pretty good in 3Q. I mean getting my ruler out, it looks like somewhere sort of $900 million to a $1 billion of orders expected in 3Q in projects. I just wondered on the consulting and operations, you know operations been pretty good in the first half, do you expect those to be pretty flat sort of one times book in the third quarter? Just doing the math I think if that projects come through and the others are flat you could be over $8 billion of order book for the first time I think probably since the first half of 2019. So, our Consulting and Operations likely to say both to be flat in the third quarter?
Robin Watson: We’ve not given out projections around order book, around consultancy and operations. You know, operations can be lumpy. You know, we’ve booked the – we’ve booked multi-year renewals, which by their nature are lumpy. So, you know, given our forecast around where we expect it to be in H2. We do think we've had a very good H1. We do think the macro environment in conventional energy is improving and has improved particularly in our operations business. You know, Robin touched on the project sites a bit. In terms of consultancy, you know, the growth in our order book has been consistent, you know, through the year. We do feel as the stimulus is going to play a part in the future. I guess, the timing is uncertain. You know, we've been encouraged by some of the earlier indicators. And, you know, we've had a lot of inquiries from agencies testing out perhaps really supplier availability and supplier capability, which is usually I could say no effectively tenders coming out or placing a work under existing agreements. And soon, we're seeing the early signs of this. But, you know, the stimulus needs to be passed that needs to feed its way through. So, if I look at both of those, you know, we think the macro picture across all of our markets is actually looking promising. Stimulus, we think, is a big factor. But as Robin touched on, we see improving momentum in conventional energy as well.
James Thompson: Okay. Thanks. So and just one final one and go a little bit back to what Mark was asking around liquidity. With the order book improving and as you just said, pretty much all of the end markets getting better, the outlook improving, still need that $1.5 billion of total liquidity. And following on from that, in the context of this new kind of energy transition law, that’s obviously – that has got some conditions attached to it in terms of your own kind of decarbonization strategy and emissions and things like that. When it comes to refinancing the RCF, it means due to 2023, do you see an opportunity to lower your borrowing cost if you also attach some of these energy transition goals which are very achievable to that borrowing? Thanks.
Robin Watson: Yeah. As you picked up, our transition loan has a couple of KPIs attached to it. One, growing effectively our energy transition, sustainable infrastructure business, which is already – was already a key strategic objective for us. And the second one, around emissions, which was in line with our previous targets. In terms of future financing and availability of financing, having gone through the pandemic, we've been pretty cautious around the availability of finance I'm sure you can expect. We are going to go through effectively refinancing over the next 12 months. Our RCF is meeting 23 which gives us plenty of room. Clearly, we’ll look to achieve the best outcome for the company in terms of financing costs.
James Thompson: Okay. Thanks, David. I'll -- I'm sorry.
Robin Watson: Maybe just to finish that, clearly, ESG metrics are an opportunity to do that. We think we've got a great transition story that has played out over the last seven years. And so you can see through the transition facility. We think that’s a very good financing facility, but we’re not having fundamentally change of strategy to achieve of that. Our strategy has been about transition.
James Thompson: Thanks. I would hand over.
Operator: Thank you. And there are no further questions at this time. Please continue.
Robin Watson: Okay. If there's no further questions then, we'll wrap it up for the day. Thank you for your time. I guess in terms of the closing remarks, we are very pleased with the momentum we're seeing in our business right across our markets and the growth we've seen in consultancy and operations to-date and the projected growth we've seen in projects. We do think we've seen some very good backlog growth of 18%. And that momentum in trading and momentum in backlog gives us confidence around 2H and in terms delivering 2H but also positioning us really well for 2022. So with that, I’ll wish you all a good day.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect. Please, speakers, stand by.